Operator: Good morning. My name is Jonathan and I will be your conference operator today. At this time, I would like to welcome everyone to the TMX Group Second Quarter 2013 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions). Thank you. Mr. Paul Malcolmson, you may begin your conference.
Paul Malcolmson: Well Thank you, Jonathan and good morning everyone. Thank you for joining us today for the second quarter 2013 conference call for TMX Group Limited. As you know we announced our second quarter 2013 results earlier this morning. A copy of the press release is available on our website tmx.com under Investor Relations and also on SEDAR. Today we have with us Tom Kloet, our Chief Executive Officer; and Michael Ptasznik, our Chief Financial Officer. Following opening remarks from Tom and Michael we’ll have a question-and-answer session. Before we begin I would like to remind you that certain statements made on the call today may be considered forward-looking. And I would refer you to the risk factors outlined in today’s press release and reports filed by TMX Group limited with regulatory authorities. Now I would like to turn the call over to Tom.
Tom Kloet: Good morning everybody and thank you for attending the call to discuss TMX Group Limited second quarter results. As we typically do, I’ll spend the next few minutes on our operational performance for the quarter ended June 30th. And then I’ll provide a brief overview on our integration and business initiatives. I’ll then turn it over to Michael to discuss our financial results with you. During the second quarter it was clear that the operating environment continued to be difficult for much of the Canadian capital markets. Well our Canadian derivative business experienced a modest upswing. Our equities business particularly as it relates to equity financing continue to feel the effect of ongoing market weakness due to the current macroeconomic cycle. This is particularly apparent when comparing the second quarter of 2013 to the second quarter of 2012. I’ll begin by examining that portion of our business. In the second quarter of 2013 there were 52 new listings on the Toronto Stock Exchange and the TSX Venture Exchange compare to 80 in the second quarter of 2012. In Q1 2013 there were 40 new listings, so we’re pleased to see that sequential improvement. To follow equity capital raise was basically flat in the second quarter of 2013 compared to the second of 2012. However, it was up 10% compared to the first quarter of this year. Turning to equity trading combined total volume on Toronto Stock Exchange, TSX Venture Exchange and Alpha and TMX Select was down 10% compared with the second quarter of 2012. Volumes were up 1% though when you compare that to the first quarter of this year. There was an 8% decrease in the average number of professional and equivalent real time market data subscriptions to Toronto Stock Exchange and TSX Venture Exchange products during the second quarter of 2013 compared to the same quarter of last year. Now total trades processed on CDS closely correlates the trading activity of TSX and the TSX Venture Exchange. Exchange rates and non-exchange OTC trades processed by CDS increased slightly in Q2 2013 compared to the first quarter of 2013. On the other hand despite a short-term interest rate environment with continued low volatility Montréal Exchange had a quite a solid quarter which itself offset some of the year-over-year volume declines in some of our cash markets in the second quarter of 2013. This clearly underscores the benefits of the diversified nature of the TMX Group. Volumes increased 2% on Montréal Exchange compared with the second quarter of last year. When compared to the first quarter of this year MX volumes were up 10%. MX also set two trading records during the second quarter, MX achieved an overall monthly trading volume record in May 2013 meeting the set in August of 2011. It also set a monthly trading volume record in the CGB surpassing a record set in the May 2007. Large trading volume in the U.S. options market was down 40% in the second quarter of 2013 compared with the second quarter of 2012, due to a decrease in overall market activity as well as a decrease in market share. However, comparing the second quarter of 2013 to the first quarter of 2013 large volumes were up 10%. MX data subscriptions were up 1% in the second quarter of 2013 compared to the second quarter of 2012. NGX trading and clearing volume was down 16% compared to the second quarter of 2012, it was down 3% compared to the prior quarter, once again this decline is attributable to an increase in the supply of and reduced volatility in natural gas. So clearly our market performance reflects the market realities that we face. But there were definitely some signs of improvement compared to the first quarter of this year. We are happy to see more initial public offerings in the second quarter, companies like Bombardier Recreational Products , RX Petroleum, Halogen Software and others successfully came to the market during the second quarter. In addition to effectively and efficiently operating our markets, we maintain a firm focus on growing our business. Our acquisition of the transfer agent and corporate service – corporate trust services business of Equity Financial Holdings closed at the beginning of the second quarter. This is a highly complementary business that’s and very nicely with our other issuer services offerings. Since this transaction closed on just on April 5th, we have been focusing on integrating certain elements of the business including our issuer services sales team with the Equity Financial team. We recently announced that NGX and NASDAQ OMX Commodities formed an alliance, NOCC will assign all of their existing positions or open interest. In U.S. physical power to NGX and we will provide clearing services. This alliance provide significant benefit decline including collateral efficiencies to cross commodity netting. It is also expected that the alliance will generate increased trading and clearing volume for NGX. Three new NGX clearing locations were open in the U.S. in May which brings a total number of locations to 59 in North America. In May, in October its 25th anniversary of the banks, which is Canada’s benchmark product for short-term interest rates. The banks is going to serve a key function in Canadian money markets and last year it ranked 5th globally in terms of volume among short-term interest rate futures contracts. During the quarter we continued our concerted efforts to bring international capital and new listings to Canada, just two examples, our Latin America road show and our Trade Canada at London at the end of June both of which I personally participated in. It is tempting when markets are down to cut back on these business development efforts to save money. From our view this is short-term thinking. It is important to continue our efforts to grow the Canadian capital markets, it’s important for TMX and important for Canada’s overall competitiveness. The other investment we continue to stand behind is in our trading technology. We can’t stand still in that regard either. We are very proud of our new hard work sell rate trading engine called TMX Quantum XA which began its phase launch successfully on TMX Select earlier this week. Yesterday marked the first anniversary of the close of the Maple transaction. TMX Group Limited has made tremendous progress on said time. Our integration work with CDS and Alpha continues to be a key priority and it is advancing very well. Our management employee team, employee teams are working together to identify and to see new opportunities to serve our customer by having listing, clearing and trading activities across multiple asset classes in one company. The anticipated synergies continue to be in line with targets we set out earlier, in addition to maximize the cost synergies relate to the deal, we continue to work to manage our cost and other parts of our business and to identify the cost reduction opportunities. I will now turn it over to Michael to review TMX Group Limited second quarter 2013 financial performance. Then we’ll be happy to take any questions you have. Thank you. Michael?
Michael Ptasznik: Thank you, Tom. Good morning everyone. I want to start by reminding you the reporting method we are using in today’s earnings release and MD&A. In order to present meaningful operational comparatives, our discussion of Q2 2013 revenue and operating expenses is compared to what we have reported as TMX Group Inc. for Q2 2012 prior to the addition of the CDS, Alpha and Equity transfer. Revenue was $182.3 million in the second quarter, a 9% increase over the $167.5 million of revenue recorded in Q2, 2012. The increase reflects the inclusion of $31 million of revenue from CDS, Alpha and Equity Transfer partially offset by the reduction of revenue resulting from the sale of PC-Bond at the beginning of the quarter. Lower additional listing fees and lower BOX revenues resulting from lower volumes and market share. We also note that last year’s revenue includes a one-time payment of approximately $5 million from IIROC. Operating expenses were $115 million up $32.7 million or 40% from $82.3 million in Q2, 2012 largely due to the $32.4 million of expenses from CDS, Alpha, Equity Transfer and the incremental amortization related to the Maple Transaction. Overall, income from operations in Q2, 2013 was down 21% as compared to TMX Group Inc. in Q2 of 2012. On the reported basis, diluted earnings per share was $0.47 in Q2, 2013. Adjusted diluted earnings per share was $0.89 excluding $0.22 per share related to the sale of PC-Bond and the associated income tax expense. $0.05 related to the increase in deferred income tax liabilities resulting from the increase in B.C. corporate income tax and $0.15 per share of amortization of intangibles related to the acquisitions. The $0.22 per share includes income tax expense related to the sale of PC-Bond net of accounting gain. The gains for tax purposes was considerably higher than that for accounting purposes, however we were able to utilize non capital losses to fully offset the taxable gains. Looking at our financial results on a sequential basis including CDS and Alpha, revenue in Q2, 2013 increased by $10.1 million or 6% from the previous quarter. This was primarily due to the inclusion of operations of Equity Transfer beginning on April 5, 2013 higher initial and additional listing fees and higher derivatives market trading and cleared revenue. As Tom mentioned, volumes on TMX were up 10% from the first quarter. The increase in revenue was partially offset by lower Information Services revenue following the sale of PC-Bond also in April 5, 2013. Operating expenses in Q2, 2013 increased by 3% compared to Q1, 2013 primarily due to the inclusion of Equity Transfer and higher regulatory and bad debt expenses. As a result, income from operations increased by 12% quarter-over-quarter. Our reported earnings per share decreased by $0.23 per share in Q2, 2013 versus Q1, 2013 primarily due to the one-time net impact from a higher income tax expense related to the sale of PC-Bond a change of $0.33 compared with Q2 to Q1 as well as the $0.05 impact of the increase in B.C. corporate income tax rate offset by the reduced impact of Maple Transaction and integration costs from $0.03 last quarter to almost 0 this quarter. Our adjusted EPS increased by $0.14 compared with Q1, 2013. As Tom also mentioned, we remain on track with the integration of CDS and Alpha and are also to achieve our targeted annual cost synergies were approximately $20 million on a run rate basis in Q1, 2014. We realized approximately $4 million of these net synergies in Q2, 2013 bringing us closer to our target of a current run rate of $16 million. And finally, yesterday the Board declared a quarterly dividend of $0.40 per common share to be paid on August 30, 2013 to shareholders of record on August 16, 2013. At this moment, I’ll turn the call back to Paul to take questions.
Paul Malcolmson: Thanks Michael. Jonathan, could you please outline the process for the question and answer session.
Operator: (Operator Instructions). Your first question comes from the line of Geoff Kwan with RBC Capital Markets. Your line is open.
Geoff Kwan – RBC Capital Markets: Hi, good morning.
Unidentified Company Speaker: Hi, Geoff.
Geoff Kwan – RBC Capital Markets: The first question I had was on the expense side in the quarter, so the comps, the systems expense and the G&A. I know you guys don’t give specific numbers on guidance, and I was just wondering when you take a look at the quarter and you just kind of X out where there’s seasonality and also from the synergy perspective did this quarter look relatively representative for you or were there any kind of additional considerations we should keep in mind?
Unidentified Company Speaker: There was any significant one-time items that we – that are pointed out in the MD&A as you go thought it. So, it is a typical quarter but there is no business specific ones that are large enough to highlight for the quarter.
Geoff Kwan – RBC Capital Markets: Okay.
Unidentified Company Speaker: There is always going to be pluses and minus depending on the quarter but there is nothing that unusual.
Geoff Kwan – RBC Capital Markets: Okay, okay. And then the second question I had was with respect to BOX is there anything that you can do to try and improve kind of the volumes and the market shares that you’re getting in the U.S.? Is it something where you might need to go or consider just leveraging the Montreal Exchange’s total platform to create potentially another trading venue down there with a different pricing model?
Unidentified Company Speaker: Well, Jeff we’re looking at a number of things at BOX, I mean the reality is that unlike some of the other exchanges we have no proprietary products, no license products that we own unlike others. And as you know it’s a highly competitive marketplace. All that said, we are looking at some new order types and some pricing structure issues that we think we could bring to market, there is a number of ideas we are working on but I don’t think it would include another market effect which you’re getting out. We already actually do leverage the SOLA technology at BOX, that is the operating platform for BOX already. And in fact BOX is a very low price a low cost operator in the marketplace. So the incremental volume increases really fall almost completely at the bottom-line which meaning it’s very leverageable for us and we’re trying to think of a best way, we have some ideas, we’re trying to think of the best way to maximize that leverageable asset. But it is a highly competitive market where some of our competitors have essentially price products for free and that’s a challenging environment for us. We do think our price improvement mechanism continues to add value for the clients in the marketplace. We think that’s important to the market share we have. But there are some things we might be able to do around order types in our pricing that could increase our positioning but we’re still doing some market testing on that.
Geoff Kwan – RBC Capital Markets: Okay, great. Thank you.
Operator: Your next question comes from the line of Jeff Fenwick with Cormark Securities. Your line is open.
Jeff Fenwick – Cormark Securities: Hello, good morning.
Unidentified Company Speaker: Good morning.
Unidentified Company Speaker: Hi, Jeff.
Jeff Fenwick – Cormark Securities: So I just wanted to ask about your debt plans here. I mean you used a chunk of the proceeds from the PC-Bond sale to repay debt, what’s the thinking going forward here in terms of debt reduction, is this something that will be you think ongoing, every quarter you can allocate a portion of your cash flow to, or how are you feeling about sort of planning out that trajectory of reducing leverage?
Unidentified Company Speaker: The debt continues to be the priority to the use of cash, obviously we continue to look for opportunities to invest as well. But borrowing anything that we see as a new investment opportunity, we will continue to use the debt to – the cash flow to reduce the debt load.
Jeff Fenwick – Cormark Securities: Okay, great. And just moving on maybe to some new initiatives in the quarter here, you announced a couple. Maybe just any color you can offer up around these agreements, for example the one with NASDAQ here for trading the U.S. power products with NGX? I mean how big is that business today with NASDAQ and is this something that adds maturity to the profile of NGX? Is it just a nice small add or how should we be thinking about that?
Unidentified Company Speaker: Well, I think it’s a – for today I think it’s a nice small add but it has a potential to be meaningful to NGX. The power market in the U.S. as you know is very fragmented. And we think there are some opportunities to bring a lot of the bilateral trade in the power market on to a more exchange like environment. So, we are excited about the possibility there. The – well I was getting into too much of an necessary discussion the current activity is centered around the ERCOT market, which is a Texas-based market for power. And we really think that we can expand that offering beyond that market. There are some other areas in the U.S. I don’t want to get in too far because of competitive reason, but there are some other areas in the U.S. where we think there is an opportunity to leverage the assets we have and build up our market. So, we’re excited about we’re – going to allocate some resources for developing this market. And we’ve been successful as you probably know we’re developing power market activity previously so we think we can leverage on what we built within NGX. And then finally the fact that we are, our clearinghouse there now is ready to go with all the Dodd-Frank compliance aspects so that is important too. So, we think we’re positioned well and that we can build off of that. In terms of the other things that – I referenced obviously we’re very committed to making sure our trading technology is that the forefront will we’ve introduced that in a very managed way with starting one symbol on TMX Select for now and we’ll we have a phase then launch which is the prudent thing to do. But I’m excited about the prospects of having a very leverageable and efficient trading platform of our marketplace and I think our teams both in that technology side and the equity trade teams have done a good job with that development I think when we’re done we’ll well more to say about where we stand in terms of – improvement and the efficiency of it, but I think it will help us immensely.
Jeff Fenwick – Cormark Securities: Okay, I guess falling along with that the agreement you have with Dow Jones indices with licenses CDCC is that an exclusive relationship there or how is that’s going to build that over time your feed as?
Unidentified Company Speaker: I’m actually not sure of that exclusive again I would think that a relatively modest thing certainly our core futures trading in MX is an exclusive arrangement I think that – to start with we’re the only derivative point out in Canada so certainly domestically it would be just because of our visioning, but I’m not sure of that contract was exclusive or not. We can come back and comment further on that, but I think that what we’re doing there is making sure that we have the ability in the license to clear bilaterally executing trades in that – to the CDCC and CDCC is gaining traction obviously in the repo project which we put a lot of resources in but beyond that we’re gaining some traction with our non-MX traded clearing to our Converge project and we continue to see that as an important avenue in our futures.
Jeff Fenwick – Cormark Securities: Okay, thank you for your color.
Operator: Your next question comes from the line of Doug Young with TD Securities. Your line is open.
Doug Young – TD Securities: Hi, good morning, just want to clarify few things Michael, the first, the $0.22 that you fact out does that include just want to make sure that’s backing up the $5.6 million gain on the sale of PC-Bond that’s in your financial?
Michael Ptasznik: Yes, it is.
Doug Young – TD Securities: Okay. and then the second is the information services, the revenue was down sequentially can you talk about how much of that related to not having PC-Bond any longer?
Michael Ptasznik: The majority of that, the vast majority of that was related to the not having the PC-Bond included.
Doug Young – TD Securities: And there was no recoveries in the quarter or any lumpiness in the market data side?
Michael Ptasznik: Again nothing significant or unusual there is always going to be adjustments but nothing dramatic.
Doug Young – TD Securities: Okay, great. And then Tom, can you give us a bit of an update on where we stand with the shift then forward the program with the OTC derivative side and I think you kind of hooked in the last answer kind of taught me the little bit about but can you understand where we stand with that in terms of developing of that business?
Tom Kloet: Yeah I can I mean the – our first focus and our primary focus right now is on our efforts around over the kind of repo trade as there but now is in, with – backing of the community in the financial institutions here on Canada and bank of Canada we have successfully built a fixed income clearing mechanism for over-the-counter executed repo trades. Then activity continues to increase in the – last quarter of it, it continue to grow significantly the other thing that that’s going on as we did reprice the activity in the marketplace with effective in May. So, we’re developing that business further I think the next key phase principally right now but I think it’s exclusively right now we are clearing dealer-to-dealer repo trade and where we want to go next is to include the buy-side into the program under a couple different models that we’re talking about with the industry and we’ll start buy-side outreach program here in the coming months. And that is the next logical development of that business. So, I’m – pleased with our operational development thus far, I think that we have succeeded at improving the marketplace that we’re adding value and financial institutions are getting the next trade bilateral clearing service they need in the balance sheet release that comes with that. The next step that’s going to make it start to make it a commercial subset will be to get the buy-side in the program that’s where our focus is going to be. We cleared roughly just to give you a feel for numbers we cleared roughly $1.2 trillion through the system in the first half of 2013 if you want to get to you for the side. And we think there is significant more to go in terms of what we can build. But it’s going to launch in the next spaces to get the buy-side.
Doug Young – TD Securities: Just a follow-up, has this come together slower than you would have otherwise expected or is this is a progressing trend essentially as you would have expected?
Tom Kloet: I think it’s progressing as I would have expected I think that I might, if you think back about the – that MG-7 agreement in Pittsburgh that has kind of driven all this staying back to 2008-2009 I might have got the industry would be further along with this one-third industry I mean not just our side of the industry but also the regulatory side and the adoption of standards. But, I think from in terms of our development of the product that’s been online and I think that with the commitments that the – that like leaders made about a year and a half ago to 2014 dates I think that will be a – that will help this business and other OTC clearing businesses around the globe.
Doug Young – TD Securities: Okay, thank you.
Operator: (Operator Instructions) your next question comes from the line of Bryan Brown with Macquarie Capital Markets. Your line is open.
Bryan Brown – Macquarie Capital Markets: Good morning.
Unidentified Company Speaker: Good morning.
Bryan Brown – Macquarie Capital Markets: Issuer Services revenue includes the $5.6 million from Equity Transfer and I just wanted to know if that was an amount that you thought was normal and where we should expect going forward?
Unidentified Company Speaker: Yeah it’s obviously. Again there is nothing unusual in the $5.6, and it’s I don’t know we hope to grow with the acquisition in the business than an inspiration of this and so obviously something that we do hope to grow over time but as there is nothing unusual in that number for the quarter.
Unidentified Company Speaker: The other thing I would add is that I think that number and correct me Michael if I’m wrong but I think that number may include some revenue from CES as well. I don’t think that is exclusively Equity Transfer.
Unidentified Company Speaker: That’s correct.
Bryan Brown – Macquarie Capital Markets: Okay. And.
Unidentified Company Speaker: Going back to an earlier question, sorry, and we’re going back on earlier question on our press release in front of me this – the arrangement with S&P, Dow Jones on the clearing of the OTC options on S&P/TSX indices is not exclusive. I think (inaudible) earlier.
Bryan Brown – Macquarie Capital Markets: The derivative market revenue included a onetime billing adjustment and could you just give more details on that?
Michael Ptasznik: It’s just related to an assessment to the prior period it wasn’t amount in the quarter.
Bryan Brown – Macquarie Capital Markets: Okay. And lastly, you have the new Exchange set to begin operations in late 2014, do you think it’s necessary to take on any strategies to protect market share?
Michael Ptasznik: Our view is that we’re an excellent domestic and international competitor. We have faced competition for a long time now. New competition is not it’s just back to life. We think, we’re both prepared and well positioned to compete effectively against any new market entrant that comes into the market. Our focus will be similar to what has been throughout over the last five or six years we’re going to focus very strongly on making sure that we provide our marketplace with leading edge technology and innovative products as well as competitive pricing we think we balance the pricing mechanism in the market very well. We’ll continue to do that. And then finally we’ll continue to listen very carefully to our customers and again work on our customer outreach. But I think if we, if we do those things they will prove successful as they have proved successful for the institution in the past.
Bryan Brown – Macquarie Capital Markets: Great. Thank you. That’s it for me.
Michael Ptasznik: The billing adjustment on the -on derivatives is less than $1 million.
Bryan Brown – Macquarie Capital Markets: Okay. Great.
Operator: Your next question comes from the line of John Reucassel with BMO Capital Markets. Your line is open.
John Reucassel – BMO Capital Markets: Thank you. Just for Michael or Tom, just the pipeline on the listings, secondary or IPOs, how does that are we in the normal summer slowdown or where are we so far into the third quarter?
Michael Ptasznik: Yeah I’d say, I’d say kind of seasonally adjusted if you will. It’s slightly better then maybe since then. I mean, we were actually quite pleased with particularly some of the non-resource space product that went to market identify some of them and then even this quarter, we’ve had some very successful real estate projects go to market and some technology progress go to market. I referenced my trip to South America and some of the other business development we made. There is a great deal of interest in coming to market I think that the commodity cycle as it relates to the people I saw on those trips is relevant. The people are sorting out most cost of production issues and pricing issues in the market. But I think the pipeline is slightly better than maybe it was but we’re kind of entering into a seasonal period year, where August tend to be pretty slow. But the tittles are a little bit better. And again I think that, as I said in my prepared remarks, the actual things that whenever the goal line in the second quarter was really important for the marketplace and we’re and we’re pretty successful.
John Reucassel – BMO Capital Markets: Okay. And then what about the data subscribers are you still seeing weakness in those numbers?
Michael Ptasznik: Well what you are seeing is, it’s not a secret that but in kind of relate to your earlier question that the industry goes through cycles and industry employment is down now a little bit relative to where maybe it was last quarter or the quarter before that’s a driver of our, of our traditional market data revenues. And as data subscriptions were down a little bit and as frankly there has been some firms that have, that have some equity, firms that have that are closed. Now that’s offset in the numbers by continued strength in our market data sales around MX, where we continue to grow that business and as a result people all over the world are being added to our subscription base. The other, the other items that go into our market data business, our collocation business, our indices business, our other products and services around market data. They continue to be rather steady.
John Reucassel – BMO Capital Markets: Okay. Thank you.
Michael Ptasznik: And I think the slight volatility if you adjust for the PC bond number I think what we’ve said is that covers most of the difference in slight volatility beyond that. There is really going to be ebbs and flows, there is industry employment in the cash market gets altered kind of offset by the continued development of the subscriber base in our market data business.
John Reucassel – BMO Capital Markets: Okay. And then, Tom, just one last question. You did mention in your opening remarks I apologize if I misheard of what you talked about looking at cost savings elsewhere or cost containment, are you prepared to elaborate on anything or what is this just part of the ongoing process or are there new areas that you are looking at?
Tom Kloet: It’s part of the ongoing process. If you, this remains largely a fixed costs business. But if you, if you back out CDS and Alpha now Equity Transfer and the other new businesses that we brought in. We have managed our costs from year –to-year or half year to half year subsequently well I think while making investments in other areas like the build out of Quantum XA, the rebuild facility we are talking about. So, all these other things that we think generate revenues in the future. This is a business, where you spend the money a little bit on the (inaudible). So, we continue to look for efficiencies. I think that we’re – it’s an ongoing exercise that the institution has to consistently do because there are a wholesale revenue opportunity is out there that we want to be able to fund without significantly increasing the expense, the expense we can’t.
John Reucassel – BMO Capital Markets: Okay. Thank you.
Operator: There are no further questions at this time. I’ll now turn the call back over to Mr. Malcolmson.
Paul Malcolmson: Okay. Thanks, Jonathan. The contact information for Media as well as Investor Relations is in today’s press release and we’ll be happy to take any further questions. Once again thank you for joining us and have a good day.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.